Operator: Good afternoon, ladies and gentlemen. Welcome to the Maple Leaf Foods Third Quarter 2015 Results Conference Call hosted by Mr. Michael McCain. Please be advised that this call is being recorded. Please note that there will be a question-and-answer session following the formal remarks, and the question-and-answer session instructions will be read after the presentation. I would now like to turn the meeting over to Mr. Michael McCain. Please go ahead.
Michael McCain: Thank you. And good afternoon everyone, and thank you for joining us this afternoon. On today’s webcast we will review Maple Leaf Foods’ financial and operating results for the third quarter of 2015. The news release and today’s webcast presentation are available at mapleleaffoods.com under the Investors section. Some of the statements made on this call may constitute forward-looking information and future results may differ materially from what we discussed. Please refer to our 2014 annual MD&A and other information on our website for a broader description of the operations and risk factors that could affect the company’s performance. As usually the case, I will provide an operations overview and then ask Debbi Simpson, our Chief Financial Officer to provide other financial information. We’ll then open up the call for your questions. So if I could turn your attention to page 2 of the presentation. We continue to make meaningful progress this quarter which we’re very proud of although the pace was slower than we expected. Our adjusted operating earnings of $30 million was a $50 million turnaround from a year ago. A steady trend in our EBITDA margin expansion continued in the quarter. Our EBITDA margin for the quarter was 7.1%, up from 0.5% a year ago and 6% last quarter. Our adjusted EPS increased to $0.16, compared to a loss of $0.12 per share a year ago and although there was considerable market volatility in the quarter, the financial impact of this in our business was net neutral. Finally, we estimate that the inefficiencies that are driven by the ramp-up of our new facilities to be worth over 320 basis points of margin in the quarter and that gap between our current performance in our near-term margin target of 10% is entirely composed of the final stages of ramp-up and the optimization in our new plant network to close that 320 basis points of inefficiencies. Turning to slide number three. You can see the steady and continued progress in our financial performance, which was reflected in an EPS of $0.16 per share, compared to the loss of $0.12 a year ago and the steady EBITDA margin growth over the last number of quarters. I’d like to give you a little bit of historic perspective on that 7%. We set the margin target of 10% in adjusted EBITDA margin fully five years ago in 2010. And at that time, we anticipated achieving this margin some time in 2015. This margin target represents a significant structural improvement to our historic margin. In fact, if you back – go back in the history books between 2005 and 2012 over an eight-year period, in which the currency was rising, our average adjusted EBITDA margin for the same portfolio that we have today was 3.5% that’s 3.5% over eight years and there was a standard deviation of a 130 basis points, so it was quite steady. As you can see from this chart, we’ve certainly recovered our margins now in the 7% range, plus we know, we have over 3% in plant network inefficiencies, which were highly identifiable, measurable and managed on a daily basis. That gives us tremendous confidence that our investments and the long hard work we have and our long hard work has, and will continue to pay off well. That said at this point closing the gap of that 300 basis point operational gap appears to extend into 2016. The slide number four illustrates, there was a significant market volatility in the third quarter, which shows up in different segments of our business. In fact, the market outcomes highlight the proper balance, we believe, we have in our portfolio today. It won’t always be perfect, but it achieved a good result in this quarter. Our earnings in the fresh pork business were robust, driven by a strong cut out or the composite net price for fresh pork, which rose sharply. You can see this in the top graph. The pork spread was above the five year average levels by roughly $5 per hog. Additionally, we had strong poultry markets in the quarter. However, offsetting this was the unexpected dramatic rise in pork bellies; a raw material for beacon at a much more substantial pace than we would have reasonably anticipated. This compressed our margins in finished beacon in the short-term, which shows up in our prepared meats margin. In aggregate, all of these factors roughly offset each other, and the net market impact in the quarter was neutral. Slide five gives an alternative view of our results, that bridges the year-over-year results for the quarter and not the progression from Q2 to Q3. In total, we’ve realized an improvement of $50 million in our adjusted operating earnings from one year ago. Last year, we’ve recorded a loss of $20 million in Q3, and this year we generated a $30 million profit. The first bar represents the improvements in our gross profit in the prepared meats business. As I described a moment ago, it is important to point out that this margin improvement in fact would have been considerably higher had the beacon markets not compressed from the rising pork belly markets. However, the positive offset to this shows up in the second bar, which reflects three factors in our year-over-year market influence; number one, last year, the pork markets were well below the five-year average, which depressed a year ago performance somewhat. Number two, the strong pork markets in Q3 in fresh versus the five-year average, but which was offset in compressed beacon margins, and number three, the strong poultry markets. Again, these market influences produced a net neutral market influence in the quarter, which we believe reflects the strength of our balanced portfolio. Our volume in the quarter was not material and in its impact on our financial results, as it was up in our core branded business, but that was offset by a decline in our non-branded and food service operations, as we chose to exit some lower margin business. The net bar on the far right shows a $5 million, sorry, the next bar shows a $5 million improvement from lower SG&A, compared to the prior year, this represents the benefit of our continuing efforts to reduce our non-strategic costs. And finally, the other bar in the far right represents a collection of non-material items in our portfolio. Turning to slide number six. I want to emphasize that the gap to our strategic margin target of double-digit is more than a 100% comprised of supply chain inefficiencies due to the ramp-up conditions in tour plant network, which now are primarily in our large scale and complex heritage facility in Hamilton, Ontario. We estimate in the quarter that this alone was worth an aggregate of 320 basis points in our results. Many of you have asked over the last several months, what the make-up of these ramp-up inefficiencies are, so we are providing a little more color on their composition. Frankly, this list appears long, but it is quite normal in start-up and ramp-up conditions and we are at the final stages of eliminating these excess costs. However, because of the complexity and the unpredictable nature of problem resolution in these conditions, we’re unable to provide specific short-term guidance as to when they get resolved. This startup conditions include having more line crews than expected due to training and startup requirements, lower throughputs on our individual lines due to mechanical equipment performance and training of our people, lower yields than expected in a short-term, as we optimize formulas on new processes, materially higher levels of factory supervision staff, during the training and start-up phases, more resources from the OEMs and internal maintenance staff as new equipment requires more attention in the early stages of operating – of operation, higher utility costs and expected short-term as processes get bowed in, additional SG&A support in the very extensive problem solving processes and finally the indirect consequences of unstable manufacturing rates, including excess margin loss, due to out of code production, some customer service deficiencies and some minor sales volume limitations. Again, I would highlight the wish list is very normal in start-up curves. Our management team has significant experience in plant start-ups, while we always want them to go smoothly and quickly, it’s rarely the case, but these issues that are on this list always get resolved. We are making continuous progress on every front and we have very high confidence in the outcome. We are doing the right things, it just takes some time and some persistence. Turning to slide seven. The last quarter, we said that, we saw some room for non-strategic cost reduction in our SG&A and I would like to elaborate on this a little more. We’ve made significant organizational changes to our business, following last year sale Canada Bread and our adoption of a single focus on protein. These efforts are starting to show improved SG&A numbers as you saw previously, and with our supply chain transformation coming to an end, we see even further opportunities to capture additional savings. We’re also acutely mindful that the entire food industry today in North America is focused on operating cost reduction, particularly in SG&A, in ways that haven’t been explored in the past. We’ve actively sought to utilize the best practice from these approaches, without compromising the long-term health of our business. And we feel that we’ll generate savings beyond what we’ve previously expected. Finding value for money by eliminating non-strategic costs in our SG&A structure, and scrutinizing every individual expenditure that we make will be a cultural norm for us and the catalyst for growth in the future. Turning to slide number eight, I’d like to address what we see is our most powerful growth platform in more sustainable meat production as consumers look not only to what they eat, but how it is produced, a sort of revolution in responsible consumption. We’re taking leadership positions that will result in a different kind of Meat Company well into the future. We’ll have more products from animals never given antibiotics or hormones, more of our animals will be fed a complete vegetarian diet and continue to be raised in Canadian farms. We will take a leadership position in animal care, and we’ll offer even more natural products made with fewer, simpler ingredients. All of this is enabled by a robust sustainability strategy based on four priority areas, advancing nutrition and health valuing our people and communities, treating animals well and eliminating waste with an aggressive goal of cutting our environmental footprint in half by 2025. Earlier this month, we released our latest sustainability report in the new website, which provides considerable detail on our sustainability achievements and targets. It is more than a responsibility. This is the foundation of our growth platform. With that, I’d like to turn the call over to Debbie Simpson, our Chief Financial Officer, who will provide some additional financial color and information. Debbie?
Deborah Simpson: Thank you, Michael. Slide nine provides information on our cash flow and balance sheet. Cash on hand at the end of the quarter was $307 million, after investing $96 million in the purchase of 4.3 million shares under our normal course issuer bid. Under this program, we’ve acquired a total of 6.1 million shares for a cumulative investment of a $138 million this year. Our share buyback has been continuing this month and as of the close of business on Tuesday this week, we’ve acquired a total of 6.9 million shares for a total investment of $156.3 million. As a result, we had approximately 137 million common shares issued in outstanding at the end of September 2015, compared to 143 million common shares at the 2014 year-end. Our capital expenditures were $39 million in the quarter, compared to $42 million last year. Year to date, capital expenditures were a $109 million, compared to $184 million in the Protein Group a year ago, we expect capital spending for the year will be roughly in line with our estimate of approximately $120 million. This is the time of year, where we see our capital spend tail off. However, we are executing on some profit enhancing initiatives, and depending on the cash flow timing of these, we may be slightly over our estimates. Cash flow from operations increased to $42 million from $31 million last year. Finally, for this quarter, we saw a decrease in our restructuring cost to [ph] $3 million from $14 million last year, substantially all of which was in cash. Our year-to-date restructuring cost were $22 million of which $14 million was cash. We continue to expect restructuring cost for the year to be in line with our estimate of $25 million to $30 million. I will now turn the call back over to Michael.
Michael McCain: Thank you, Debbi. In conclusion, we continue to build a consecutive trend of quarter-over-quarter EBITDA margin growth, which we’re very, very happy with. We’ve been making steady progress and we know what needs to be done to achieve our strategic targets. Our confidence in achieving the target is unchanged, our reaching that goal is expected to extend into 2016, as we continue to take actions to eliminate start-up costs largely in our new Hamilton plant. We are actively working to remove non-strategic spending from our SG&A and finally we are launching a number of exciting new growth initiatives, including a strong platform for more sustainable meat production to deliver ongoing profit growth. With that, I’d like to open the call to your questions.
Operator: Thank you, Mr. Maksymetz. We will now take question from the cell phone lines [Operator Instructions] Our first question is from Irene Nattel. Please go ahead.
Irene Nattel: Thanks and good afternoon, everyone. A couple of questions, first of all, Michael, I’m just – I’m trying to marry what’s in slide number seven with a commentary in the release and again in the MD&A around double-digit margin target and I’m wondering whether your, the statements around lower SG&A previously anticipated prefer, et cetera. Whether in fact, we should be looking to something higher than 10% margin at some point in 2016, 2017?
Michael McCain: Well, Irene, that’s a very good question. I’ve been saying now for the last two years that we believe that once we achieve this target and I’ll underline our focuses on achieving the target first. But once we achieve this target, we believe that double-digit or 10% EBITDA margins is a floor, not a ceiling. We believe that we can demonstrate steady progress over the next five years and being a low-cost operator in our SG&A and taking steps in that direction will be a contributor to that. So, I’d like to think the answer to that is true, absolutely true and that’s what I believe and we have strategic plans over the next number of years that we think will contribute to that, but certainly right now and here and now, our focus is on achieving the double digits first.
Irene Nattel: Understood. And on that subject, if we go back to slide number six and recognizing that these are all very, very normal, it is what happens when you start up new facility, particularly the ones of this magnitude. Presumably, there are in terms of resolving the issues and bridging that 320 basis point GAAP. There’s some sequencing. There is no this leads to that, that leads to this. So just kind of wondering what the key pieces of this puzzle are or what are the pieces that you’re most focused on resolving might be?
Michael McCain: Well, there’s a long list here, which again you rightly point out is a normal list of factors contributing to ramp ups. Let me be very clear Irene that we’ve said for at least 18 months that we felt that we would – we felt that we would hit our run rate in 2015, in the back half of 2015, but we wouldn’t know what that was – what that looked like until we got there, because it was highly unpredictable, and it could easily extend into 2016, which it is. In terms of this list, this is a list, because it’s a we’re at that stage, where it’s a long list of small things, not one list of big things, and tuning and optimizing many things on this list. There is a constant process of prioritization and there are priorities in there, very broadly it’s – it’s mostly about labor and yield, labor cost per unit, which is a combination of crewing and throughputs, and yields, but at the end of the day, these – this is a game of very steady progress against all of these factors. And to be quite honest with you, we’re very happy with it, we’re making progress. We understand the issues. The issues that are on this list are what we would described as normal debugging, not structural. Maybe two years ago, we maybe didn’t know that. Today, we look at this list and say, these are normal debugging issues. That doesn’t make them predictable, but it makes them a little more comfortable, a lot more comfortable. And where we – I think, we know enough today, now that it’s almost the end of October to say that we probably will hit that run rate in the – we won’t hit that run rate in the fourth quarter, but it’s extending as we said it easily might into 2016. So, it’s – I know, there’re some that would prefer more precision, I wish I could offer that. But, given the complexity of a startup and ramp-up and the plant is large and complex, this, I just think that’s normal and not unexpected should we say.
Irene Nattel: Okay. Just one final question and so just continuing this discussion I got. So, we saw a sequential improvement of about a 120 basis points from Q2 to Q3. Again, not asking you to forecast, I’m asking you to give precise numbers, but should we be expecting that we will continue to see improvement in that kind of order of magnitude as moving forward. If this is not a case where we’re going to get 20 basis points and then a 150 basis points or 200 basis points, but we should continue to see steady progress, that’s how the reasonable statement?
Michael McCain: Well, that’s – that certainly what we’re expecting, but I can tell you, in start-up curves I’ve seen progressions of every ilk. And honestly, I could – and there is very little predictability in it. I’ve seen things that showed tremendous hockey sticks. I’ve seen the extended periods of flat winding and then a hockey stick. I’ve seen things take one step backward before takes 10 forwards. It’s just the nature of this, so I am very reticent to – yes, we believe we’ll make steady progress, that’s what we believe. But I would tell you that in this nature of tuning up this type of normal and customary start-up debugging issues, it’s – it can be somewhat unpredictable.
Irene Nattel: That’s great. Thank you, Michael.
Operator: Thank you. Our next question is from George Doumet. Please go ahead.
George Doumet: Yeah. Good afternoon.
Michael McCain: Hi.
George Doumet: Some sizeable declines on SG&A, can you give us a sense of what we can expect as I guess some normalized run rate in the near-term and what we can do in terms of improvements for the longer-term after some right sizing?
Michael McCain: Well, we are focusing on our SG&A optimizing, you didn’t some in the quarter. I don’t know that I’ve got any specific direction for you in terms of what your expectations should be above and beyond our overall EBITDA margin expectations. But I would give you some flavor of what we are doing. We have exhaustive reviews line-by-line, cost center by cost center, expenditure-by-expenditure at a granular level of every cost in our SG&A and factory overheads. We think as I alluded to earlier that that’s been enabled by the fact that we now have a single focus in our protein business, and it’s timely because our transformation has ended, so the organization is capable of handling that and leaning out in that way. We are being very strategic in our view of this, so we’re going out to non-strategic cost that don’t add value to products or growth for the company going forward, and focused on minimizing those to the lowest possible cost and doing extensive benchmarking. So, we have very rigorous processes in place, but I don’t think at this stage it’s premature to give you any guidance in terms of what that might deliver. Certainly it helps contribute to the EBITDA margin goals and objectives that we’ve articulated previously.
George Doumet: I appreciate that, Michael. Can you just – can you talk through also any potential price increases, magnitude, timing I guess to offset the other meaningful rises in food hog value prices?
Michael McCain: We have raised prices as some. In the fourth quarter we expect – we expect additional price increases in the marketplace mostly actually to offset the currency factor, which combined with the commodities rise to occur in the first quarter of 2015 – for 2016, I’m sorry.
George Doumet: All right. One last one if I may. There is a mention of some high potential growth platforms in your prepared remarks. Can you give us some flavor on what is meant there, geography, size, anything?
Michael McCain: On – on which place, George?
George Doumet: Yeah. The – you alluded it last slide, high potential growth platforms that was what I was thinking at.
Michael McCain: Yeah. We’re very excited about what we’re doing in this whole genre of evolution for protein company like ours, which is, which we described as sustainable meat where we have – where we are leaders in that genre of products in North America. We have made significant investments in animal welfare. We’ve made significant investments and are currently supplier, one of the largest suppliers in North America of products raised with – produced from meat raised without antibiotics. We are one of the largest suppliers of natural meat products. So, that whole genre of more sustainable meat production is we think is going to be a catalyst for the growth for the next five plus years.
George Doumet: I appreciate it. Thank you very much.
Operator: Thank you. Our next question is from Derek Dley. Please go ahead.
Derek Dley: Yeah. Hi, guys. Can you just talk about your EBITDA margin target for 2016 as a whole. Is it still in the 10% – is 10% still the target?
Michael McCain: So, that’s – there’s a comp – let me give you in, Derek – first of all, hello, Derek. The answer is yes, 10% is the target. What is that mean for the year as a whole to a large degree, I mean, it’s actually, Derek, depends on when we hit that run rate, is it January 1 or December 31. Certainly, it would depend on what the annualized number between January 1 and December 31. As I said, Irene a moment ago, for the last 18 months, Derek, we’ve said this easily could push into at 2016 and it has. We’ve made tremendous progress and we’re very happy about that progress. We think that we will hit our run rate and we’re certainly doing the right things and we’ll hit it as quickly as we possibly can. It’s not a structural issue, it’s not – there is nothing that’s standing in the way of us solving these problems. There’re somewhat normal yet still unpredictable debugging. But the answer to your question depends on when that run rate occurs. And I don’t know that it’s anymore predictable today than it was the last time we spoke a few months ago.
Derek Dley: Okay. And then just a question on the prepared meat volumes, so they were – when I say they were down a little bit in the quarter, but I think you just said there was mostly you guys exiting non-profitable business, so have – has all the volume that was lost when you guys implemented it alongside with your peers, the 8% price increase back in 2014, has that volume all returned?
Gary Maksymetz: So, we’re very happy. In aggregate, the volume that we – that hasn’t returned, we didn’t want it to return because we’ve resigned it for profitability reasons. Where we’re focused on is growth in our branded retail business and branded food service business. And frankly we’ve had very positive growth trends there and we’re very happy with the volumes right.
Derek Dley: Okay. And then Debby maybe just one for you. Just in terms of the working capital, I believe there’s just be sort of working capital comeback of around $50 million in the back end of the year, are you still expecting that in Q4?
Deborah Simpson: I think so. That’s our seasonal pattern. I don’t know the number is absolutely $50 million, but you’ll certainly see a good return back in working capital.
Derek Dley: Okay, great. Thank you very much.
Gary Maksymetz: Thanks, Derek.
Deborah Simpson: Thanks, Derek. Operator: Thank you. Our next question is from Michael Van Aelst. Please go ahead.
Michael Van Aelst: Hi. Just a few follow-up questions on those topics. First of all, on the new business, can you talk a little bit about your success to-date in getting new business in the United States with your Raised Without Antibiotics?
Michael McCain: Well. Until we’ve got very good distribution, but the transitioning that distribution into velocity takes some time. So, the progression curves are probably slower than we anticipated, but we’ve had tremendous reception of the concepts and the product propositions and the brands and the positioning and so. I think, we’re very – we continue to be very optimistic about that as a growth platform, Michael. But, there’s always as a new entrant into the U.S. marketplace that there’s always struggles just transitioning distribution into immediate volume.
Michael Van Aelst: Got it. If some of those customers were to start to adopt these programs or the product lines in a broader scale. Are you in a position where you could actually supply them at this point?
Michael McCain: Yes, depending on the category. We’ve more availability in some segment than others, but for the most part, yes.
Michael Van Aelst: Okay. And then...
Michael McCain: We also are very mindful of – in the early stages, the opportunities in food service come-in appeared to be quite significant as well, as you can see the trends in antibiotic free meat in food service is accelerating.
Michael Van Aelst: Sorry, I mean it does seem like mostly QSRs and restaurants are trying to get into these – are promising to offer more of these products. Why do you think it takes so long to, for them to adopt and start developing those products?
Gary Maksymetz: Supply.
Michael Van Aelst: Right. But you have – you’re saying that you have some of that supply, but it seems to be slowed around...
Gary Maksymetz: Yeah. But if you’re a large chain, you can’t – we have a large supply, but we certainly – we don’t have – we don’t have enough supply to supply all of the QSR needs in America for example. So, if one of the large QSR helpless came to us and said, could you supply all of our pork needs, we would – we have got a lot, but we don’t have that much.
Michael Van Aelst: Okay, all right. And then when you look at the bottlenecks or the I guess the barriers to get into your 10% as far as timing as concerned, I assumed that the peak production periods during the summer is a period when it’s very difficult to make a lot of progress. So, what gives you the confidence that you can get the – get through these – a lot of these bottlenecks and these issues before you hit that peak production period again?
Gary Maksymetz: The peak production period is nine months away is that what you’re referring to Michael?
Michael Van Aelst: Yes, exactly.
Gary Maksymetz: What gives us confidence that we can get this – hit – resolve this in nine months, well, we’ve done it before.
Michael Van Aelst: Okay, all right. And then just finally on the Agri business side, the high profitability seems to be running a little bit ahead of where the market would suggest. I think, that’s based – in part based on your hedges. Can you talk a little bit about your outlook for the agro business over the next year or for 2016 and whether that how important that is for that segment to be – to have some profit or breakeven on its own or does that get offset through the vertical integration.
Michael McCain: There is some offset in our portfolio. I think, we’ve done a pretty good job of managing the – that we’re eliminating the volatility in that segment of our business. We do – our hedging strategy there is to materially reduce that volatility and I think over the last couple of years, we’ve taken the peaks off and the valleys and through our hedging strategies and they’ve worked very, very well. I can’t comment that they worked probably exactly right each and every year in perpetuity, but they certainly have worked incredibly well so far. So, the perspective in 2016 is probably not that much different and not materially different than in aggregate from 2015.
Michael Van Aelst: Thank you.
Michael McCain: And we’re certainly hedged out well into 2016 now.
Michael Van Aelst: Great. Thank you.
Operator: Thank you. Our next question is from Mark Petrie. Please go ahead.
Mark Petrie: Hey. Good afternoon. Just a couple of follow-ups. With regards to the RWA product, what would it take for you guys to ramp-up supply there, is there any capital involved, is it just a matter of dedicating the resources to it?
Michael McCain: There is a tremendous skill set attached to ramping up RWA. We’ve been working at this for five years. I think we’ve become very good at. It’s a combination of a modest amount of capital, and a relatively in a disciplined way going it step by step. It’s not a question of just turning on all of your production in RWA the very next day. It’s just not – that’s not possible digit. There are employee training requirements, there are issues around converting natural hog genetics, there are capital requirements, and so on and so forth. So, it’s something that we will steadily grow but it’s not something we can turn on a value.
Mark Petrie: And where does the rest of the industry sit on this, in terms of production in Canada and the U.S.?
Michael McCain: I think there are others growing in this factor – in this field, none is significant to as materially as we are. But, there are others that are growing in this class of product as well. I think we’re ahead of anybody in North America proportionately. In fact, I know we are – in absolute terms the largest in North America in raised-without-antibiotic pork. I think in the U.S. industry they are at the pace at which they can work or if they can work will depend on their commitment to this trend. And, in some cases, their ability to execute it. I know in U.S., one of the challenges that they have to overcome is that the density of their livestock industry is materially higher than in Canada, and that’s an obstacle to raising livestock without antibiotics .
Mark Petrie: Okay. Thanks. Just with regards to capital, Debby, I assume you guys are still going through or will go through a planning process for next year, but how should we think about CapEx in 2016?
Deborah Simpson: Mark, you’re absolutely right about that. So, we are currently going through that process. We haven’t finished yet, so I am not ready to give you a number for 2016. I guess we’ll be back to you on that next time around.
Mark Petrie: But fair to say materially down from 2015.
Deborah Simpson: No. It wouldn’t be materially down from 2015.
Mark Petrie: Okay.
Deborah Simpson: Our estimate for 2015 is $120 million.
Mark Petrie: Yeah.
Deborah Simpson: Yeah.
Mark Petrie: Okay.
Deborah Simpson: It wouldn’t be – it would not be materially down from that.
Gary Maksymetz: That’s a -the reason that so Mark is we have a combination of maintenance capitals and profit enhancing capitals. So, if you’re properly modeling that, I think you have to distinguish between the two.
Mark Petrie: Yeah.
Gary Maksymetz: We will use a portion of our capital to – for profit enhancing capitals inside our business on an ongoing basis at a measured pace.
Mark Petrie: Okay, great. And what’s the attitude? I know, I think you said before that you planned up to max out the share buyback program that you got in place now. What’s the attitude towards that sort of in the future and when do you sort of plan to make further disclosures around balancing, returning cash to shareholders and acquisitions and future capital deployment?
Gary Maksymetz: That’s a – that’s a Board matter that has been – that’s unresolved. There’s no progress other than what you currently are aware of. We are executing against the current NCIB, Normal Course Issuer Bid. I think that expires in February, February-March, March, it expires in march. We would likely expect to fully utilize that NCIB, but the board has not made any decisions as to what happens in capital allocation after that.
Mark Petrie: And sort of still waiting for the attainment of the 10% target before you make further?
Michael McCain: Waiting for that. And constantly reviewing growth prospects.
Mark Petrie: Okay. Thanks very much. Operator: Thank you. [Operator Instructions] We have a question from Kenneth Zaslow. Please go ahead.
Kenneth Zaslow: Hi. Good afternoon, everyone.
Michael McCain: Hi, Ken.
Kenneth Zaslow: Now, you might have answered -- I got cut off, but I think you kind of answered it. I didn't -- I only heard the back part of it. Does the delay in the margin structure change when you're going to make a decision about capital allocation? If you answered that, you could just say I answered that, and I'll go back to the transcript. I just got cut off. I apologize.
Michael McCain: No. It doesn’t. It doesn’t change our – it doesn’t change any of our decision making there. Where we’re still weighing that against our current balance sheet, against growth prospects, we are allocating capital today and I think prudent ways, we – as you know, we increased our dividend six months ago or so. We’ve now got close to $160 million returned in through the normal course issuer bid. And so – I think, we’re taking a prudent and step by step approach to that capital allocation and there’s really no change, no material change.
Kenneth Zaslow: Okay. And then, with the delay in the margin structure. I know obviously there is a time issue, but is there a cash cost or a capital cost that’s associated with the delay...
Michael McCain: No.
Kenneth Zaslow: I think that is unique for. Okay.
Michael McCain: No. No, no, not at all. These are Ken, what’s really important to understand here is what we’re dealing with it. We’ve structurally changed the margins, we’ve taken it from 0.5% a year ago to 7.1%. I would have liked it to be 8% or 9% in this quarter, but it was 7.1%, up from 0.5% a year ago, which is a very significant material turnaround. But, we’ve – and, we’re very happy with that. We’ve got 320 basis points of GAAP in start-up or ramp-up inefficiencies, we try to articulate exactly what the contributors are to those. They’re primarily focused on the very complex facility in Hamilton. They’re – it’s important to understand what they are and what they’re not. They are normal debugging related issues, there is nothing structural or fundamental or market related attached to those. We’ve started up a lots of plants in past that doesn’t make it any more predictable, it’s not. But, this is we’ve said consistently this could easily move into 2016 and it is. And so, to a long-term shareholder, a quarterly predictions like this aren’t particularly relevant, I know they’re to some, but to a long-term shareholder they’re not particularly relevant. And, we’re making great progress and we’re very happy with that progress. So, I would say right now, a steady as you go, we’re happy with the progress we’ve made and we’re going to continue to make to make progress. What impact. Yeah?
Kenneth Zaslow: Yeah. You said that it’s no more projectable than it was last quarter in terms of 2016. Is there a possibility it leads into 2017 or are there is a level of certainty that we’ll get to 2016? I’m just curious.
Michael McCain: I’ve lived long enough to know market startups and plant that darn near everything is under the column of possible, but I would classify that as I’m sitting here today. I would personally classify that as wildly remote. So – so not likely by anybody’s imagination at this stage given the nature of the problems that we see today. This are – again this are very normal debugging start up, ramp up related issues.
Kenneth Zaslow: And more of a second question. As there been any major change to personnel or change any thought of underlying operations or systems or anything we’re going to do.
Michael McCain: Sometimes we would change, I think I’ve been involved in about 30 different plant startups in my lifetime and I think I’ve changed personnel on 100% of them largely not because of performance because startups are so grueling for people that they tend to burn people out. And it’s a little bit. We don’t look at it as if they are bad people. It’s like a starting picture that needs a reliever. And so the answer to that is very commonly true.
Kenneth Zaslow: Thank you.
Operator: Thank you. And no further questions registered at this time. I would like to turn the meeting back over to you Mr. McCain.
Michael McCain: Okay. Well, thank you very much. I appreciate your time and attention. We are working hard to achieve all of the targets we’ve declared. We are very excited about the future of the business, more excited than we’ve ever been. We are – we have the end and sight with now very measured gap and focused challenge here to close that gap, and lots of growth prospects both in the cost and in top line growth for the next five years. So, we feel we’re in a very good place in this business. And we appreciate your support and guidance throughout. So, we’ll look forward to updating you at the end of the next quarter, and maybe we’ll have more color at time. Thank you very much.
Operator: Thank you, sir. And the conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.